Operator: Greetings, and welcome to Wejo's Business Update Call. At this time, all participants are in a listen only mode. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host to Tahmin Clarke, Senior Vice President of Investor Relations. Please go ahead.
Tahmin Clarke: Good morning, everyone. And thank you for joining Wejo's inaugural business update call. With me on the call today are Richard Barlow, our Founder and CEO, and John Maxwell, our CFO. As a preliminary matter, we'd like to inform you that some of the items discussed today will be forward looking. Forward-looking statements are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-statements are not guarantees of future performance, and as such should be taken in the context of the risks and uncertainties that are outlined in the SEC filings of Wejo including our Super 8-K filed with the SEC on November 24 2021, as well as other documents filed with the SEC. Forward-statements speak only as of the date made and the company undertakes no obligation to update such statements in the future. In addition, during this call, we will be discussing certain financial metrics that do not conform to Generally Accepted Accounting Principles in the US better known as GAAP. For reconciliation of the financial metrics to GAAP, please access Wejo's' Investor Relations page at www.wejo.com.  Today, the vast majority of new vehicles have connectivity over 100 sensors emitting data every few seconds, put to good use with Wejo's technology. This data will soon transform our world and enable autonomous mobility. Today, we do have 12 million connected vehicles on our platform. And by 2025, this number will rise to around 125 million almost 1/3 of the total connected vehicles on the road worldwide, thanks to our strong deep partnerships with the world's leading automakers. The power of the Wejo platform, coupled with the trends around connected vehicles provides an outstanding revenue monetization opportunity for Wejo. While we are still in an early market, Wejo is already demonstrating its ability to monetize its platform as we will show in this business update.
Richard Barlow: Welcome to Wejo's December 2021 Business update. Wejo is transforming the world for the better. The demands of the world have also transformed Wejo. We're elevating our global leadership in connected vehicle data to expand and accelerate our delivery of software analytics solutions. Wejo is a software company that's enabling mobility by redefining city and highway infrastructure, and building the power of full data ecosystem automotive manufacturers. Ultimately, this leads Wejo democratizing data and supporting the ultimate goal of zero crashes, zero emissions, and zero congestion, and with our ESG focus, deliver products and services that will help lead to net zero. Wejo's cloud platform supports the aspirations of businesses, automakers and governments accelerate electric vehicle adoption. Our communications set can power vehicle to vehicle communication, which is a key component in enhancing the potential of traditionally driven vehicles and powering the autonomous vision of the future. Currently, we have a development project creating digital twins, or discard definitely a Metaverse of cities in the US. With this innovation, we are positioning Wejo for autonomous vehicle manufacturers; as they accelerate the rollout of autonomous vehicles to help handle real world driving situations with ease. We're enabling city planners to decide where to place electric charging stations, or to redesign intersections to improve safety. This is what we mean when we say we are changing the world with our data to good products. This business update highlights our progress and executing our vision. We have seen huge progress in developing our commercial business. And we can see that in some of our year-on-year numbers, a 69% increase in gross sales, a 75% increase in total contract value, a 77% increase in annual recurring revenue, a 104% increase in customers to date, over a 20% increase in vehicles on platform and at the same time a 53% increase in unit economics per vehicle. In addition, we are proud to report our progress investments and strategic alliances with Microsoft, Palantir, General Motors, Hella and Sompo progress as seen as expand and deepen our relationships automotive manufacturers, Tier 1 and fleet data providers and progress and accelerating product delivery as well as expanding our customer base. In Q3, we released Wejo Studio, our SaaS visualization platform providing on demand access to unique insights and analytics. We're regularly updating Wejo Studio with new products and are developing an autonomous vehicle visualization solution we aim to release in 2022. Until recently, Wejo had focus on vertical traffic management and mapping, working this quarter with clients including Microsoft, Parsons, several major universities and one of the world's largest ecommerce companies. Many of these customers are occurring relationships taking broader set of services from Wejo. As a result, we've seen significant increases this year in recurring revenue and total contract value. We expect this to continue to grow and expand into new marketplaces with subscriptions in Wejo Studio and software as service offerings. The next fiscal year we are adding is Audience and Media measurement. Taking previous learnings visualizing vehicle data, we are focused on enabling the real time audience measurement of media and vehicles. We expand entering into additional verticals will drive greater unit economics, as new companies can access tools and solutions that solve their business needs. Historically, revenue has grown by bringing more vehicles on platform. Now as we expand these new marketplaces, we will generate additional revenue as well as bringing high volumes of vehicles on platform. So not only is the number of vehicles increasing, we're also expanding to new marketplaces with new products. As a result, unit economics per vehicle have increased by 53%. I'm also pleased to announce that we have signed an additional agreement with another major automotive manufacturer supply Wejo with even more data to power smart cities and future mobility. We're also starting our relationships with existing automotive partners. In total, we now have 22 global and regional automotive manufacturer at tier one and fleet relationships. As a result, our business has more data platform and as before with over 13.2 trillion data points and 62.6 billion journeys. Wejo's innovations, data sources and track record delivering valuable data insights has attracted a wide range of new and returning customers. These companies' institutions will join a long list of customers who receive incredible insights from Wejo and benefit from our platform. Talking about customers directly relates to Wejo's revenue. And so at this point, I'll hand you over to John Maxwell, Wejo's Chief Financial Officer.
John Maxwell: Thank you, Richard. As Richard has outlined in his comments, Wejo continues to make strong progress on the execution of its growth strategies. It all starts with the continued growth in vehicles on platform now at 12 million vehicles and growing, we have strong visibility into the growth of our vehicles on platform based on existing OEM relationships and their forecasts for future connected vehicles. Based on those forecasts, we believe we already have 65%, or greater visibility into the targeted 124 million vehicles projected by 2025. The near real time data from these vehicles in the US and now in Europe is fundamental to the insights and capabilities that we offer to various marketplaces, including our OEM and Tier 1 customers. While growing our base of vehicles on platform is important to our outlook, we also were focused on growing our unit economics per vehicle and had success to date on this metric. We expect this growth will be accomplished by adding new marketplaces and expanding the amount of gross sales realized from customers through broader and deeper relationships. Our first commercial launch in 2020 was in the traffic marketplace selling data licenses to municipalities, engineering firms, real estate firms, mapping and other customers that can handle data feeds without visualization tools. When comparing the nine months ended September 2021, to the same period of 2020 one year later, we have seen strong growth in this aspect of the traffic marketplace, with about 70% year-over-year growth in gross sales, while net revenue grew by 43%. As a reminder, gross sales represent the revenue from customers in the current year, and net sales as gross sales minus the revenue shared with our OEM partners. The difference in growth rates between net and gross has to do with the mix of revenue and the related revenue share to our various OEM partners. Behind the increase in traffic gross sales was a 104% increase in total number of customers. For clarity, this represents the total number of unique customers to date. We saw a 75% increase in total contract value to $20 million as of the end of Q3, 2021 and a 77% increase in annual recurring gross sales to $4.7 million when compared to the same period last year. We expect our growth rates to further accelerate starting in the fourth quarter. And over the coming years as we expand into new marketplaces, and launch subscription based visualization tools and software products that we anticipate will be appealing to a much larger number of customers. We also expect net revenue to grow substantially as our mix increases towards our OEM and Tier 1 SaaS offerings. We believe that this progress in our business will drive significantly higher annual recurring gross sales, total contract value and numbers customers, as most customers are not interested in pure data feeds, but rather prefer solutions that address their needs, and provide insights that answer their questions and thrust for data insights. In addition to subscription based product offerings, we anticipate an increasing number of enterprise customers in the future as we expand into new markets. Enterprise customers are large customers that will be able to utilize our solutions across multiple aspects of their businesses, and over multiple geographies. We believe these customers will represent an increasing part of our revenue profile as we move forward, because they provide increased opportunities to land and expand with additional software solutions and products. In the fourth quarter, we launched automotive business insights as a marketplace and find our first customer in this market for which we are providing data management and analytics solutions. This is the earliest stage of this relationship, and we hope it will grow significantly in the future as we add value to this new customer. Other OEM customers are in the works and expect to be added in the coming months and years. It is important to note that the automotive business insights portion of our revenue does not include a revenue share to the OEMs. And therefore, as it grows in proportion to total gross sales, it should have a significant positive impact on net revenue, as well as gross margin. We also were in the final stages of discussions with major customers in the audience and media measurement marketplace and expect to find these customers this year or early in '22. This is significant as we expect to launch this very important marketplace with huge growth potential and marquee customers.  Lastly, we are in the final stages of negotiating a new customer relationship in the insurance marketplace. We expect these negotiations to be completed shortly and to subsequently create a project based opportunity completing joint research and development on end-to-end digital solutions for the insurance industry in Japan. This activity positions Wejo to long-term insurance offerings in Japan during '22. And we expect to expand those offerings globally after completion of the Japan launch. All of this underscores the significant progress Wejo is making in multiple marketplaces and with the launch of subscription based products across the business. Year-to-date gross revenue was $4.1 million; a large portion of the full year revenue projection was from the traffic marketplace and nearly 100% of revenue year-to-date. Our current customer activity is exciting as we are expanding into three new marketplaces which represent substantial progress towards achieving our long-term marketplace goals. We will update our final 2021 results after we close the year in early '22. On the expense front, we continue to invest in new product development and geographic market expansion, as well as public company readiness as you can see from our year-over-year increases in expenses from $21 million in the nine months ended September 2020 to $46 million in the same period in 2021. These investments were made ahead of our listing transaction and we expect that with the additional funding, we will continue to make additional investments supporting our long-term goals, many of which Richard discussed in his comments earlier. On the capital front, we completed our listing transaction raising $225.7 million of gross proceeds, which included the Apollo forward purchase agreement of $75 million as previously disclosed. After transaction expenses, these funds provide cash visibility into mid to late 2023 and enable Wejo to push forward on its organic growth plans and multiple marketplaces. Finally, as you may have seen, we have filed a Form 8-K this morning outlining a correction we are making to the presentation of certain expenses on our third quarter 2021 10-Q. We are reclassifying certain expenses between categories to more clearly reflect the activities in the business. But these changes have no impact on total expenses, cash flow, operating losses or net losses reported by Wejo. Over to you, Richard.
Richard Barlow: Where we are today the business demonstrates that we're making progress not just in terms innovation, but also in partners, customers and revenue. The exciting thing for Wejo and all our stakeholders is that we're only just scratching the surface of a huge addressable market. By 2030 around 95% of new vehicles sold globally will be connected up from around 50% today. This growth is driven in part by drivers clearly seeing the benefits of connectivity. In McKinsey's 2020 consumer survey on autonomous driving connectivity, electrification shared mobility, 37% of respondents said they would switch vehicle brands for improvements in this area. 39% of consumers and 47% of premium vehicle owners were also interested in unlocking additional digital features in their vehicles after purchase. We expect to see these figures to rise as consumers see the massive wide ranging benefits of connected vehicles can bring to the world. More connected vehicles more consumers giving consent means at Wejo we can explore more marketplaces to generate revenue from and find insurance, audience and media measurement, remote diagnostics, fleet management, vehicle sharing rental and roadside assistance. To date, Wejo's focus on traffic management, one of the more mature verticals of both strong revenue. Our connected vehicle data visualization platform, Wejo Studio generated greater vehicle insights. With Wejo Studio, we expect to deliver additional product revenue and to grow this revenue in the marketplaces I've just mentioned. We expect the vehicle which historically just any traffic management revenues to contribute to additional marketplace growth. With us radio stations measuring the effectiveness of their advertisements or automotive manufacturers, knowing when they'll be a part failure on a vehicle we expect unit economics per vehicle to grow greatly. Partnerships with like minded companies want to use connected vehicle data to deliver better services and bright future are key to our success. One of the partnerships I'm extremely proud of is Microsoft. One of the challenges that automotive industry faces is the sheer scale of data from cars such as real time traffic alerting, parking, availability, detection, road conditions, and autonomous vehicle communications. Wejo and Microsoft are building cloud infrastructure that can be placed in the right locations to enable edge processing. Wejo ADEPT and Microsoft Azure will benefit carmakers and their drivers in many ways, including near real time data exchange, data security and privacy and scalability. Scalability and edge processing will deliver near real time driver experiences as the data grows. By Azure's patented artificial intelligence functionality will enhance predictability, for example, helping to reduce road traffic accidents through near real time data model. Wejo's OEM partners are increasingly interested in Wejo as a cloud platform, which is now built on Azure. This will enable them to unlock incredible insights into the data from their own vehicles. That's just one use case. The massive growth in data will require edge processing where together we can deploy Azure and Wejo adapt as a service. As vehicle to vehicle communication increases, this type of client solution will become essential. Together, Microsoft and Azure can accelerate the delivery of solutions such as crash notification, power failure prediction, traffic signal automation, and hey by car features I could go on, but the possibilities are almost endless. Wejo's data today extends across the US and Europe, we're starting with a daily delivery of the whole Wejo's data. And over the coming weeks and months, we'll be progressing this to being a live data feed in near real time.  This will enable us to deliver significant benefits to our customers with real time traffic alerts, notification of dangerous road conditions. And the best way to get from A to B live based on what's happening on the roads. This is very exciting for our solution. Another partnership new product is Palantir. We're really excited to be collaborating with partners that one want to move fast, and two have ambition to redefine the future. This partnership Wejo's data asset technology in the foundry platform are going to enable them to realize the potential of Wejo to reduce emissions, reduce congestion, increase safety on roads, and really revolutionize the mobility industry. And they're able to do that while imposing very rigorous controls to protect the underlying security of that data. Our ongoing work with Palantir demonstrates the power of a partnership and how Wejo expect to advance not only our product innovation, and revenue generation, the building a network of marquee companies that got us into new customers, Palantir automotive manufacturers. And this has been a focus in 2021. Laying the foundation of our business we expect to accelerate our path to customer growth and profitability. Let me specific outline our key initiatives. First, increasing our growing pipeline of new enterprise customers. We expect of sale to large enterprises to unlock significant revenue opportunities, as these types of businesses utilize our platform across a variety of marketplace applications on a subscription basis. Second, increased monetization of existing customers with recurring revenues. Given the insights being unlocked by our platforms, we're expanding our relationships with existing customers as they use Wejo's analytics and software to solve their business challenges instead of just using data feeds. Third, we are now licensing Wejo's cloud technology, ADEPT towards mostly manufacturers, with ADEPT, we expect automotive manufacturers to develop new solutions for their customers including consent management, and predictive maintenance. Fourth, we're building solutions that we expect to accelerate the adoption of electric and autonomous vehicles. We believe these investments in product development enable us to rapidly enter new marketplaces and verticals. As John mentioned, we're actively partnering with Sompo in Japan, focus on insurance marketplace, and we're also in discussions with new customers in the audience and media measurement. We anticipate this expansion to new verticals and differentiation across our core markets to generate greater unit economics. We're building a global enterprise in a marketplace that we expect to expand hugely. We thanks for your time today, we look forward to future investor call.
Operator: [Operator Instructions] Our first question today is from Jeff Meuler of Baird.
JeffMeuler: Yes, thanks, John, just to clear it up. I think I heard you correctly. And I see there's an 8-K out. But so there's no change to revenue net income or free cash flow. This is just where expenses get allocated between the various line items like cost to revenue, tech and dev etc. Is that accurate? 
JohnMaxwell: Yes, Joe, thank you, that is accurate. We realized in the process of preparing for the quarter that we had allocated sales and marketing some certain sales and marketing people to cost of revenue. And when we looked back, we said let's reallocate it. Because number one, it's really not GAAP to treat it that way. But also, more importantly, as we looked forward to trend lines, we felt it was important to set a good baseline. So that way investors could understand how the business develops as we move forward and get into scale on revenue. So that was why we made the change, it was just a good time to do it. But no valuable effects on any major categories of the P&L or cash flow.
JeffMeuler: Got it. And then Rich, I think you said that there was an additional agreement with a major OEM and you're up to like 22 relationships. That's, I think the 22 is up by more than one per my prior memory. So I don't know it's apples-for-apples, but any additional detail you can provide on the new relationships that you're referencing, the pipeline for relationships, and the support for your comment that you have 65% or greater visibility to the 124 million projected vehicles on platform in the out years. 
RichardBarlow: Yes, hi, Jeff. Well, so you're absolutely right, even I can add more than one through 17 to get to 22. It's about what we ended up we just happy to talk about, what we're focusing on is broadening our existing relationships with OEMs, as well as adding new OEMs and getting much higher resolution data, which we're delivering. So the total number of sensors per vehicle is going up on average, the total number of vehicles going because on average, we have no reason to vary our forecast next year, 30 million vehicles live on platform, you'll recall before we have 90% coverage, that as a business, we're not varying any of those forecasts at all. So our focus is to but our focus, as you saw before is we also know when our first substantial automotive business insights contract which is SaaS revenue. So it's super high margin revenue. So what we're also doing is that we're getting more vehicles from OEMs, we're getting more sensors, hybrid resolution from OEMs, so the OEMs are asking -- are now spending substantial amounts of investment with Wejo to license our software, so we're closer to seven OEM as well.
JeffMeuler: Okay, and then on the annual recurring sales, and I think you said you expect further acceleration. Could you just help us understand how much of this is the capabilities from Wejo Studio? How much of this was clients kind of starting as a one off data sale and then signing on for a subscription offering just help us understand that transition?
JohnMaxwell: All right. Yes. So we just in terms of that particular metric, that measurement were taken as of September 30. And as of September 30, you that are effectively a historical measure at that point in time, the business at that point in time were the traffic business. So what you're measuring effectively is the traffic business. And it was pre the official launch of Wejo Studio; we did have a couple of beta customers and Wejo Studio in the third quarter. But we expect that as we go forward, the growth in that metric is going to come. And the reason we put the metric outlets, we think it's an important metric for investors to understand how the business is going to build over time. This is the building of that metric is going to come from a few sources, Wejo Studio certainly is going to be part of it, as we move to a subscription based model, as opposed to a data license type of model, which we did in the early days with the traffic market. And then, as we add more enterprise type customers, certainly in automotive business insights and some of the other fields of use, but also, as you've seen, we've added some in the traffic space as well recently, those are the types of customers you're going to start to grow in size, they'll affect total contract value, and they're certainly going to have a significant impact on recurring revenue as well as we move forward. 
JeffMeuler: Okay and then just any additional color you can give for 2022 in terms of the migration of the value stack. So when do your clients have access to Palantir foundry through the partnership? I guess what other fields of use, do you expect meaningful updates to including via Wejo Studio.
JohnMaxwell: So just let me talk about sort of the '22, we're not yet giving sort of guidance, as you know, we're talking conceptually about where the business is headed. We are adding three fields of use this year into early next year, which are the ones we talked about on the call, automotive business insights, insurance, and ultimately audience and immediate measurement. And so those, a lot of the tools that we're developing are being developed. And in partnership with Palantir, and on the Palantir platform, and also, independently of that vertical link insurance is a place where we have a significant opportunity to accelerate where we were in the market. And using the Palantir capabilities and the Palantir presence in the insurance market, we think will significantly enable us to do that. Certainly also in other markets like automotive business insights, we'll be able to do the same thing, along with our partnership with Microsoft. And Richard, you may want to add some more color.
RichardBarlow: I'm sorry, I lost the first 20 seconds of the call, unfortunately which why I went quiet. So apologies about that.
JeffMeuler: Okay, I was just trying to understand the migration up the value stack as it relates to 2022 Product Development Plan. Throughout either Wejo Studio, Palantir, just like how you plan on enhancing the solution and where.
RichardBarlow: Yes, so we are doing further upgrades, updates to Wejo Studio at the moment for traffic management. We're taking a broad sort of DNA visualization of the data now moving into the next market traffic of sort of audience and media measurement. And simply put it means while they're supplying raw data to media measurement organizations, we're supplying live insights from our own visualization platform. And it sorts of subscription driven so rather when it's a data -- rather when it's a data fed, it's easy to spot buying, or potentially occurring buying when it's Wejo Studio clients it is always recurring revenue. So we're using Wejo Studio as our platform to go from being a raw data business to being insights driven business. And that was -- and we tried to demonstrate some of that sort of broader visualizations when are implementing into studios of not only having more marketplaces, we've now built traffic management, we're going to audience and media measurement and as John mentioned, we're also now building for Sompo for end to end insurance. But also we're going deeper into it -- we'll get deeper into the data available from vehicles such as, for example autonomous vehicle data, including LiDAR, which we showed, we gave an alpha demo of at the start of the presentation. So absolutely, Wejo Studio is our way of driving the value of all data and has more control of the data as well rather than displaying a raw data feed out. 
Operator: The next question is from Dan Ives of Wedbush.
DanIves: Yes, thanks. So can you just talk about how the conversation with OEMs has changed versus today versus where it was even a year ago? Maybe anecdotally, and obviously, it seems like that's something that should accelerate in terms of more and more these deals, first you maybe you could hit that first.
RichardBarlow: Yes. So you're seeing from John's coming commentary that he mentioned our first substantial automotive contract. Look, we've done previous automotive contracts. We've talked about [Indiscernible] and what, we did in Korea, the first contract we've announced now is our first substantial multi million dollar contract, where we are showing that actually OEMs are looking to outsource more thorough overall data ecosystem to Wejo. So that we, in effect are embedded and find your organization as what we call their preferred Tier 1 supplier. And we're seeing strong growth for that. We've had a lot of inbound inquiries, the vast majority of our marketplace customers, so more than 50% have asked for now to look at licensing elements of software from Wejo, where we became more embedded in our business. So we see that being a real strong area of net margin growth for Wejo. So John, want to add to that too?
JohnMaxwell: Yes, that's right. I mean it's a significant margin growth opportunities, also, obviously, very significant market opportunity, as well. We, for the automotive business, insights business, we do not have a revenue share component of that. So when we're talking about gross revenue, gross sales and net revenue, they're the same number in effect that has a huge impact on margin and profitability as we go forward. We also think the market opportunity there is huge, as well. 
DanIves: And then just as a follow up. So when we think about just more and more monetization from these deals, I mean, how do you sort of expect that's going to progress? Is that something that the ultimate could even accelerate over the next called 6 to 12 months, just given what you guys said.
RichardBarlow: Yes, so we've done a lot of background work this year. So we've been building insurance products the last sort of six months in sort of in real so gusto with the partnership like Sompo, audience media measurement is also a new market. So next year, you'll see that not only do we see the unit economics go up substantially for traffic management, where the $120 million of sales pipeline converting to long term total contract value for that particular sector, where then we were also opening that particular marketplace in further territories such as APAC more broadly. But also then introducing these new fields to use. So it's a compounding effect of having more vehicles and more unit economics per market and more marketplaces as well.
Operator: The next question is from Alex Potter of Piper Sandler.
AlexPotter: Great, thanks for taking the question, guys. First one for me, I'm curious the extent to which you can get into any benefits that might be embedded within the infrastructure bill that was passed in the US. I don't know if there's anything concrete, you could report, but maybe just tangential benefits or something that you may be able to capitalize on within that bill. I'd be interested in hearing anything you have there.
RichardBarlow: Yes. So there are a few examples. So for example, there's $8 billion allocated for EV charging installation. We are already working with a number of partners to identify where Wejo can still charging site, but actually more holistically, we're also providing data with our ESG angle about how vehicles really being driven. So a typical car is driven less than 20 miles a day, they don't need EV infrastructure on the road, they need to have satisfactory infrastructure at home for charging. So we are providing a much broader lens on where EV infrastructure should be installed. But we're also advising organizations who are directly looking to how to be able to receive probably $8 billion budget in infrastructure. That's the example we cite, we have a number of other examples. So for example, we talked about our Meta twin or our digital twin constructs at the beginning of this call. That's because we've got a huge amount of data that we can now use for and we're now using to simulate city movements. So we can help cities plan infrastructure moves, we can help plan highway moves, we can help on all sorts of areas, which would help design their smart cities. So we -- and the infrastructure bill are just going to be contributing to that. So we see a number of different angles, we see our data -- our unique data set, which is now over 500 billion miles of data putting us in a unique position where we can advise multiple sort of industries and multiple marketplaces and be a massive revenue contributor to Wejo.
AlexPotter: Interesting, okay. Then there's one other question that follows on the previous question regarding how conversations with OEMs have changed potentially over the last couple years and see if I can articulate this question accurately. But I think generally speaking, you have more centralization of compute platforms on vehicles, right, we used to have lots of disparate Tier 1 systems regarding braking, or stability control, or infotainment. And each of them had sort of their own black box and their own software; their own sensors may be associated with that. Whereas now you're migrating toward more centralized platforms. And the OEM potentially has more direct control over the data. So is this, a, I guess, would you agree with that? And then b, is this a positive trend for Wejo? Is it a neutral trend? Is it a negative trend? I'd just be interested in hearing your comments on, I guess how vehicles are built now versus how they used to be built and whether you can capitalize on any changes there.
RichardBarlow: Yes, without getting the easy answer. And without giving way too much as well. It is positive for Wejo and you may well have noted that we have historically discussed some of our edge based processing work we've done to better refine data that's centrally controlled by the car before it leaves the vehicle and comes to cloud. It is deliberate, the relationship we've established with Microsoft and some of their capabilities around quantum computing as well. So for Wejo, we very much saw this coming. We very much had been planning; we very much already identified ways. And we're building products at the moment that massively improve the resolution of data leaving the vehicle, going from 4G to 5G doesn't just relieve the bottleneck until data leaving the car as well. It also 5G provides a new adaptive data builds, and builds come from the car as well. So we see these things as all positives, there's still going to need to be provided like Wejo, who have got the capability and understanding and expertise to process huge volumes of connected vehicle data and autonomous vehicle data. And we're showing that we that with time and time again that we've got that capability and we have OEMs want to license that capability.
AlexPotter: Okay, great. And then last one, obviously, you were emphasizing pretty heavily this enterprise customers, the likely contribution of enterprise customers going forward is likely going to increase, which is good. If you could just provide maybe some qualitative examples, I think insurance potentially is one area, but anything else you might be able to provide in terms of what types of customers it is we're talking about what types of regions what types of segments? Thanks.
RichardBarlow: Yes, we are not varying our five year plan about where we expect subscription revenues and SaaS revenues to come from over the next five years. So we are building solutions in Japan at the moment, we're building solutions in the US as well. And we and we have a global framework requests in place from OEMs. So we will -- we need to be globally spread. We have global demands from OEMs. And say the vast majority of OEM marketplace customers have now asked Wejo to go through the process of scoping out licensing software on a global basis to support that all that OEM demand.
Operator: Our next question is from Jack Andrews of Needham.
JackAndrews: Good morning. Thanks for taking my question. I was just wondering if you could maybe frame for us the amount of intellectual property you have at this point, is there a way to think about number of patents or even pending patents and sort of discuss what that enables you to do or what sort of advantages that may be conveyed to you at this point.
RichardBarlow: Yes, so we're now at 33 patents. So we're adding typically two new patents a month. That's not enough. That's not satisfactory. We will be scaling that up. But what we are building is we're building a strong capability, a unique capability to process huge volumes of connected vehicle data and autonomous vehicle data in near real time. And that really covers our broad approach to our IP portfolio why OEMs are licensing from us this capability. So we acknowledge we need to invest more, but at the same point, the backing of -- most of the backing of Palantir is a great example of that, we're being recognized in industry and having a unique approach. And then to be able to process this huge volume, the real time data from connected vehicle and autonomous vehicles.
JackAndrews: Appreciate the color around that. And maybe just as a follow up question, I was wondering if you could just get a little bit more granular in terms of your progress with traffic management to date. Just could you maybe flush out for us the catalyst, I guess that why people would choose your traffic management solution over, I guess some of the existing legacy solutions that they've been working with.
RichardBarlow: Yes, so we talked about in our previous 8-K, some of -- some case studies in traffic, one includes Microsoft, who are very open about the fact that we now supplying data to those your mapping product. And that's because we've developed a real time capability of identifying real time intersection changes, so we know in real time, if a road has closed, most mapping providers and we're talking to a lot of mapping providers in the world will do overnight batch processing. And what will machine learn and ATS roads, they won't see the major road closure, they won't and they will miss certain numbers of roads on there because their core data set could well be 2, 3, 4 years ago, and they'll have missing new road installed whereas we can in near real time inform the mapping provider of that road change or that road addition. Beyond that we're working with one of the world's largest ecommerce companies, where they're telling us we've identified 30% more delivery routes, which means that simply put, they can deliver more parcels quicker with lower congestion and lower emissions.  So a win-win for all. So yes, you absolutely know that there are existing mapping providers out there that could seem to be competitors that invariably they're buying from Wejo. And that's because we built this capability of processes now, up to 470,000 data points every second, and identifying those changes. In Wejo Studio, we're showing now live intersection analysis, where we're just about to launch traffic like analysis. So in real time, you can see traffic lights, changing from red to green, that's hugely powerful in terms of helping cities understand about the flows of traffic to improve safety on the roads. And yes, that's our mantra at the start; we're very focused on improved safety and zero congestion, zero emissions. And all these things help the fact we've got this live data coming from 10s of millions of vehicles. 
Operator: There are no additional questions at this time. I'd like to turn a call back to the Wejo management team for closing remarks.
Richard Barlow: Well, I just like to thank everyone for joining us on today's call. This is our first update. And we've never done this before. So we were learning at the seat of our pants, so to speak. But I'm sure you'll enjoy our future updates. And I hope next time we can do more video based Q&A as well. But thank you for your time today. And if you have any further questions, please don't hesitate to reach out to the investor relations group who can delight to help you. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.